Operator: Greetings, and welcome to the Lattice Semiconductor First Quarter 2024 Earnings Call. [Operator Instructions]
 As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rick Muscha, Vice President of Investor Relations. Thank you. You may begin. 
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Jim Anderson, Lattice's President and CEO; and Sherri Luther, Lattice's CFO. We will provide a financial and business review of the first quarter of 2024 and the business outlook for the second quarter of 2024.
 If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com. I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company.
 We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to the documents that the company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements.
 This call includes and constitutes the company's official guidance for the second quarter of 2024. If, at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as a press release or publicly announced conference call. We will refer primarily to non-GAAP financial measures during this call.
 By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com.
 Let me now turn the call over to Jim Anderson, our CEO. 
James Anderson: Thank you, Rick, and thank you, everyone, for joining us on our call today. Q1 '24 results were in line with expectations for revenue, margin and profitability. The Industrial and Automotive segment was down 25% sequentially as demand softened and end customers reduced their inventory levels. The Communications and Computing segment was down 7% sequentially in Q1.
 Within that segment, Computing was sequentially up on stronger demand for our products used in servers, which was offset by weaker demand in the Communications segment. We expect Q2 revenue to be down sequentially from Q1, primarily driven by softer end customer demand and continued inventory normalization. In particular, we're seeing incremental softness in the Communications segment related to weaker telecommunications infrastructure deployments.
 Looking forward to the second half of the year, based on our current view of anticipated near-term business conditions, we continue to expect revenue in the second half of 2024 to be higher than the first half. We believe the second half improvement will be driven by improving end market conditions as end customer inventory levels normalize as well as new Nexus and Avant product ramps.
 Turning now to our product portfolio. In our small FPGA portfolio, we now have 7 Nexus device families launched and 6 in production, and the seventh going into production in Q3. We recently shared with our customers the latest small FPGA product road map. This includes continued expansion of the number of Nexus device options coming to market over the coming quarters, which received a very positive reaction from our customers.
 In our mid-range FPGA portfolio, we now have 3 Avant device families in the hands of our customers. The first device family, Avant-E, achieved initial revenue at the end of 2023, and we expect revenue to ramp through the course of this year and into the coming years. The second and third device families, Avant-G and X, are expected to achieve initial revenue towards the end of this year and to ramp over the following years.
 As a reminder, 90% of the target customers for Avant are already customers of Lattice today, and Avant leverages the same software that customers use today on Nexus. The strong competitive differentiation of Avant, which we demonstrated at our recent Developers Conference, combined with our software support continues to produce a healthy growing design opportunity pipeline.
 As we discussed on our previous earnings call, Lattice hardware and software solutions are increasingly being used in a wide variety of AI-related applications. For example, in AI-optimized servers in the data center where the system is running generative AI workloads, Lattice devices are used in the control management and security of the AI computing system.
 Another example is in AI-enabled PCs, where Lattice hardware and software solutions are used to run the AI inference algorithm that provides features such as user presence and gaze detection. We recently shared that Lattice is designed into multiple new Dell Latitude systems, which we expect to benefit us in the second half of this year. In these types of AI applications, software is a key part of our strategy and how we enable customers in adopting our solutions.
 In summary, we're excited to be in the midst of the largest product portfolio expansion in our history, which is driving strong customer momentum. Despite near-term industry headwinds, the company is well positioned with a rapidly expanding product portfolio, and we remain focused on long-term value creation. I'll now turn the call over to our CFO, Sherri Luther. 
Sherri Luther: Thank you, Jim. The first quarter turned out as expected with results in line with our prior outlook. We maintained strong profitability and cash generation and returned cash to shareholders through share buybacks.
 Let me now provide a summary of our results. First quarter revenue was $140.8 million, down 17.5% sequentially from the fourth quarter and down 24% year-over-year, primarily reflecting end market demand softness and end customer inventory rebalancing. Our Q1 non-GAAP gross margin declined 140 basis points to 69% compared to the prior quarter and 130 basis points compared to the year ago quarter due to mix in our end market segment.
 Q1 non-GAAP operating expenses were $54.9 million compared to $55.5 million in the prior quarter and $54 million in the year ago quarter. We continue to be disciplined in the management of SG&A expenses, while ensuring that we invest in our product portfolio. Our Q1 non-GAAP operating margin decreased 780 basis points to 30% compared to the prior quarter and was down 1,100 basis points compared to the year ago quarter. Q1 non-GAAP earnings per diluted share was $0.29 compared to $0.51 in the year ago quarter.
 In Q1, we repurchased approximately 265,000 shares or $20 million worth of stock, making Q1 our 14th consecutive quarter of executing share buybacks. Over that period, we have repurchased approximately 5 million shares, thereby reducing our dilution by 3.6%.
 Let me now review our outlook for the second quarter. Revenue for the second quarter of 2024 is expected to be between $120 million and $140 million. Gross margin is expected to be 69%, plus or minus 1% on a non-GAAP basis due to less favorable mix from our end markets. Total operating expenses for the second quarter are expected to be between $54 million and $56 million on a non-GAAP basis, which is in line with Q1 at the midpoint.
 Overall, we believe we are well positioned for long-term growth. As we navigate the near-term cyclic softness in our end market, we remain focused on supporting the expansion of our product portfolio and continued execution.
 Operator, that concludes my formal comments. We can now open the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Melissa Weathers with Deutsche Bank. 
Melissa Weathers: I guess I have one bigger picture question and then a second one that's more related to the near-term cycle. On the bigger picture, you guys talked about some new Nexus product launches. I know you have 7 in the market now with 6 coming and maybe 1 more. Can you help us think about like how is this new-ish product family going to start flowing into revenues? And what kind of traction are you seeing with customers of those products? 
James Anderson: Sure. Thanks, Melissa. Yes, we're actually really excited about this, which is why I wanted to mention it in the prepared remarks. And actually, the customer feedback that we've gotten on this is very positive.
 We recently -- what we did is we recently shared our latest small FPGA road map with all of our customers, and that includes some of the near-term additions that we're adding to the road map as well as our long-term investment. And in particular, we shared that we're going to significantly expand the number of device options on Nexus, and we added the other new products to the long term. This was really positively received by our customers.
 First of all, just because, to them, it just indicates a sustained focus from Lattice on continuing to invest in innovation in this small FPGA portion of the market, which is really important to our customers, so it's sustained investment that they can count on. But then also they've been able to see that Nexus is incredibly differentiated, has great power efficiency, benefits, features, capabilities that I think demonstrate clear leadership in the industry.
 And so that, combined, just give them confidence to continue to shift more business over time to Lattice. We believe we've gained significant share in this part of the market over the past years, and I think this just positions us to continue to grow and expand our presence in this part of the market over the long term.
 And then that, combined with in parallel, we continue to invest in Avant and the expansion of our Avant portfolio for mid-range devices. And when you take those two combined, our customers are just really excited about the continued expansion of our product portfolio and our investment in the long-term road map. 
Melissa Weathers: I guess on the more cyclical side, a couple of your peers have talked about 2Q, hopefully, marking the bottom for this FPGA cycle. And I think last quarter, you guys talked about channel inventory burn or just inventory burn in general, completing in this quarter. Is that still your expectation? And how should we think about, in the near term, Lattice resuming shipments to be closer to sell-through rates? 
James Anderson: Yes. Certainly, our Q2 guidance factors that, and we know the first half of this year, what we saw in Q1, what we're expecting in Q2 is across our customer base, our customers are reducing their semiconductor inventory overall. They're drawing down those inventories. That includes Lattice, the inventory that our end customers are holding in terms of Lattice inventory. And they view this as bringing inventory levels back to normalized levels. And so we believe that effect certainly continues through the current quarter, Q2.
 And then into the second half of the year, we believe that, that drawdown of inventory starts to dissipate through the second half of the year. So it gradually dissipates. It's not that it turns off like a light switch, but that it dissipates over the second half of the year. And that's why in my prepared remarks, I mentioned that we believe the second half revenue will be stronger than the first half for the reason, number one, that we believe that, that drawdown of inventory, this effect, dissipates in the second half of the year; but then the second reason is Lattice-specific reason of we believe that the products, the Nexus and Avant products, will continue to ramp over the course of this year, and then that will be additive to our revenue in the second half of the year as well.
 As I mentioned, there's the 6 Nexus device family just went into production, so we'll benefit from that in the second half of this year. The seventh, we expect to go into production in Q3. And then the first device family of Avant is ramping this year. We saw initial revenue from Avant at the very end of last year. We expect that to ramp through the course of this year and into next year, with more benefit from that Avant-E series in the second half of this year. And so for all those reasons, we think the second half will be stronger than the first half. 
Operator: Our next question comes from the line of Quinn Bolton with Needham & Company. 
Quinn Bolton: I just wanted to start with your comments, Jim, on the Communications side. I think it's probably no surprise to any of us that the Communications remains weak, but wondering if you had any signals that, that comms portion may be starting to reach a bottom, or any further comments you might be able to give us on when you think the comms infrastructure markets may stabilize.
 And I'm not sure that you'll give it, but I'll ask. Within comms and computing, can you give us a rough sense, is comms a bigger or smaller portion of that overall bucket, just to help try to size the exposure? 
James Anderson: Yes. Thanks, Quinn. On the first part of your question, yes, we did see some incremental weakness in communications, specifically in telecom infrastructure. Especially over the last 1 to 2 months, we saw some weaker demand there that's per the end of Q1 that's rolling into Q2. And that telecom infrastructure spending related to 5G infrastructure, that's really ultimately at the end of the day, tied to telecom CapEx by the big telecom carriers.
 And so I think once we start to see telecom CapEx tick back up and improve, that's what will drive the telecom equipment spending, which will ripple back to us, and that's when we'll start to see improvement from the end market perspective of demand for telecom for our devices used in telecom infrastructure. But it's certainly part of the sequential -- a big part of the sequential decline that we're seeing from Q1 to Q2 is that telecom weakness.
 And then on the second part of your question, is just the relative sizing of comms and compute. Compute has been doing relatively well. We actually, in Q1, we saw compute go up sequentially from Q4 to Q1. Remember that what's in compute is -- a big driver of our compute is server. That's both general purpose servers and AI-optimized servers, so we saw a good step-up in demand from Q4 to Q1 in compute, while communications declined in Q1. And moving into Q2, we're expecting compute to be sequentially up and communications to decline again. And so at this point, compute is larger. It's the majority of that part of our segment, and because communications has been weaker as of late. 
Quinn Bolton: Got it. Perfect. And then just on the industrial side of the market, wondering if there are any specific trends to call out other than this idea that the inventory drawdown will dissipate in the second half of the year, which I imagine helps the industrial business get back to consumption levels, but are you seeing any specific trends in industrial segments that are worth calling out? 
James Anderson: Yes. I would say in that segment, it is a bit mixed. If you look at some of the subsegments, some of the subsegments are showing steady, stable demand or even growing demand. For instance, in medical equipment has been quite stable. Aerospace and defense has been strong to up. And so it's a bit of a mix depending on that segment. And then the automotive portion, which is a smaller part of that segment for us, we've seen some sequential weakness there.
 But the net-net is, as we look towards the second half, we believe that, that inventory drawdown that's happening in the industrial and automotive segment that, that effect, that negative effect on our demand, that, that effect starts to dissipate in the second half just as customers reach their normal inventory levels. 
Operator: Our next question comes from the line of Matt Ramsay with TD Cowen. 
Matthew Ramsay: Jim, I'm just going to bounce off of you a couple of questions that I've been getting from investors, and I think it would be helpful for you to maybe address or respond to them. I think the first one is not only yourselves but your two much larger FPGA competitors have been going through this inventory digestion, and it's very well-documented.
 And I wanted to sort of explore the relationship between that correction and what it's done to the market versus the new design wins that you guys have with the Avant. Do you feel like the timing of these new programs with Avant, because they're new wins and new products ramping, are relatively independent of the inventory situation in the industry? Or do you think that the inventory situation and the drawdown may change some of the timing of the Avant ramp one way or the other? 
James Anderson: Yes. Thanks, Matt. I think on the Avant ramp, because we're still early in the Avant ramp, and maybe just a step back and just summarize where we're at in the Avant ramp, so to date, we've launched 3 Avant device families, the E, the G and the X. The E, we began to generate revenue at the very end of last year. We expect the E to ramp through the course of this year and into the following years.
 And the contribution of -- the revenue contribution of Avant-E will be more in the second half of this year, since we're going through the ramp. And then the G and the X, which we launched at our Developers Conference in December of last year, we would expect to see a little bit of revenue from G and X before the end of this year. That's our kind of [ trickle ] timeframe from launch to first revenue, it's usually about 12 to 18 months. But G and X would be more of a benefit in 2025.
 And because that ramp, we're still relatively early, and the inventory drawdowns that we're going through are happening now. I don't really see that affecting the Avant ramp in the short term. The Avant ramp here is, in the coming quarters, is much more driven by actually the rate and pace of the customer's own development program. So now that we've put the devices in the hands of customers, we're supporting our customers, that the new design wins that will ramp, much more driven by the customers on development cycles or qualification cycles, et cetera, less about the end market demand fluctuations.
 Now I would say Nexus, that ramp can be affected by the end market demand fluctuations, because Nexus is much, much further in its ramp. We have 6 device families now that are in production. And so some of those early device families that we launched maybe a couple of years ago, those would be affected by end market demand fluctuations because they're much further along, right? But Avant, I think, really not affected by the end markets this year. 
Matthew Ramsay: I appreciate it. As my second question, I've been getting some questions from investors about -- specifically about the server sockets, the FPGA sockets that you have for basically all server vendors. And maybe not -- I mean, we're going -- we went through a correction in server, and now we're seemingly coming back out of it and you guys have spoken to that.
 But I think the questions are more about over the next several years, how confident your team is that the share position that you've grown over the last several years, you can continue to maintain, and the visibility that you have into maybe the next 2 or 3 server generations. Maybe you could talk about that a little bit, and if there's any different competitive dynamics for those sockets than there have been in the past. 
James Anderson: Yes. Certainly, servers, if you look over the past years, this has been a great growth area for us. Over the past years, we've been able to grow both our attach rate as well as our ASPs. Our attach rates have grown as Lattice's -- Lattice chips have been used in a higher percentage of servers, but also in some cases where there's multiple Lattice chips used in one server. And so our attach rates are now well over 1x. On average, a server uses more than 1 Lattice chip per server.
 And then at the same time, with each new generation, we've been trying to bring more capability, both from a hardware and a software standpoint, to our customers to bring new features, new capabilities, which raises our ASP over time. In the current generation that's ramping, it began ramping last year, but it's ramping through the course of this year, that new server, general purpose server generation,* we have significantly more dollars of content per server, a step-up of about roughly 50% more dollars of content per server.
 So as that generation of servers goes into full production, that's a natural tailwind for us. And then as we look out over the next few generations, we feel good about our ability to continue to increase our dollars of content per server just in terms of the new device functionality that we're bringing, new capabilities over time. And as we get to those new server generations, we'll certainly share more details about that. But we feel good about our ability to continue to drive innovation and additional content on those server generations over time. 
Operator: Our next question comes from the line of David Williams with Benchmark Company. 
David Williams: Jim, first, maybe if you could talk maybe a little bit about Avant design traction and maybe where you're seeing that -- where you're seeing the most traction maybe today, maybe some color around the number or size of those. And even if you can compare and contrast maybe just how mix has performed during a similar stage of the ramp. 
James Anderson: Sure. Thanks, David. So first of all, we're really pleased by the Avant design win opportunity, just the growth in the overall design win opportunity pipeline. I think as I shared in the -- at the last earnings call, we had set last year a pretty aggressive goal for the team in terms of driving new Avant design wins, and they actually exceeded that goal. And so we're really pleased with their performance at design wins last year. We've set another aggressive goal for this year. But we're pleased with the momentum. We're seeing adoption across all sorts of different applications.
 We believe Avant over time will be adopted across all of our end markets. We're certainly seeing great opportunities in industrial applications like automation robotics, automotive applications, automotive ADAS systems, for instance, communications applications, data center as well over time. An example in communications is one of the things that Avant opens up for us is and specifically the Avant-X family is Avant-X has higher connectivity speeds that allow us to address data plane applications.
 Up until this point with the Nexus' small FPGA portfolio, we've really been addressing primarily control plane applications in communication systems, for instance, both data center communications and telecom. This now opens up -- Avant now opens up data plane applications for us. So I think we're pretty excited about the continued expansion of the design win pipeline. We're now in the revenue ramping phase with Avant-E being, as I mentioned earlier, the first device family ramping into production, but we're also really excited to get G and X into revenue as well.
 We launched G and X, G is for general purpose, X is for additional connectivity speed, and we expect those to start to generate a little bit of revenue before the end of this year but contribute to revenue next year.
 And then as you can imagine, we've got a lot more in the road map -- on the road map beyond that, and we'll share more about that. We'll definitely share more about that at our developers conference in Q4. We'll share more about future Avant road map as well as Nexus. But we -- yes, the customer feedback and traction continues to be very positive on Avant. 
David Williams: Thanks so much for that color. And maybe secondly, just anything from a geographic standpoint that stood out to you, it seems like Europe was down considerably sequentially and year-over-year. But is there anything in particular you'd point to and maybe just what you're seeing in Asia, that's a better, worse or anything that you'd point to the positive or negative? 
James Anderson: Sure. Thanks, David. On the geographies, if you look at Q1, at the three geographies, Americas was pretty much -- pretty close to our overall company average in terms of what we saw from -- for instance, from a sequential revenue change from Q4 to Q1. North America kind of tracked our overall company average.
 Europe, as you mentioned, that was weaker than our overall company revenue. That's specifically due to weakness in telecommunications. As you might expect, we have customers there that provide telecommunications infrastructure systems, and we saw weakness with those customers. And then also specific Industrial and Automotive customers -- Europe is, of course, has some large Industrial and Automotive customers, we saw weakness there. And so that's what drove the weaker performance of Europe in Q1.
 And then on the flip side, we saw a stronger performance than our overall company average in Asia. And I would say the main factor there was server growth, where a lot of our products that are used in server applications are shipped into Asia where the servers are assembled. And so we saw good strength in Asia server demand in particular. And as I mentioned, before overall our computing portion of comms and compute was sequentially up from Q4 to Q1, primarily on server demand. 
Operator: Our next question comes from the line of Christopher Rolland with Susquehanna. 
Christopher Rolland: I guess, first of all, Jim, going back to a previous statement that you made, I think you said around $50 of FPGA Lattice content per server. I was wondering what is that content number for next-gen? So Sierra Forrest, Granite Rapids, Turin. And then it's hard to do compares for AI servers, but I would love to know kind of -- do you think about it on a GPU basis, dollar content per GPU? How do you look at that market, the metrics and your content there? 
James Anderson: Yes. Thanks, Chris. The first part of the question on the server content growth in the current generation, just to correct you, I said 50%. And so we see a 50% increase from the prior generation to the generation that's ramping now. The generation ramping now being, in the case of Intel CPUs, is Sapphire Rapids CPU, or Genoa CPU from AMD. And so we generally see, on average, when we look across all of our share with customers, about a 50% increase in content.
 And then on the second part of your question -- just to finish the first part of your question, and then on the future generations, we'll share more thoughts on the content increases that we expect on the future generations as we get a little closer to those server ramps. But we do believe we continue to have the ability to drive higher levels of dollars of content per server on the future generations as well. We'll -- like I said, we'll share more details as we get a little closer.
 And then on the second part of your question on AI servers, yes, in general, if you look at an AI server versus a general purpose server, we have either equal to or greater levels of content. AI servers, as you kind of mentioned, can come in a lot of different configurations: a more simple configuration that's actually closer to what a general-purpose server would look like, and then a very highly configured system with many, many GPU cards.
 And in a simple configuration, we basically have about the same level of content as a general purpose server in one of those. And then on the other end of the spectrum, [ in one of those ] highly configured systems, we have generally significantly more content on the highly configured systems.
 But overall, we see the AI-optimized server as a net positive for Lattice. And we've certainly seen strong demand for our products that are used in AI-optimized servers, and that was one of the contributors to growth that we saw in our Computing segment from Q4 to Q1, and specifically within that server demand, one of the clear drivers was AI-optimized servers. 
Christopher Rolland: Great. For my second one, it's really about kind of some select opportunities that you have and competition in those opportunities. So I think a previous question was around human -- I think it was server security, and I think ASPEED is making some progress there. Google also has their own internal solution they announced. I don't know if you had an opinion on that.
 But also human presence, guys like Synaptics are saying they're taking share in that market. And then if you had any new opportunities or new applications that have been popping up that are starting to become meaningful dollar drivers that you might want to put on our radar. 
James Anderson: Yes. Thanks, Chris. Actually, on the last part of your question around new opportunities, we did recently share, and I mentioned this in the prepared remarks, that Lattice hardware and software is now used on Dell Latitude laptops. We're doing AI -- basically AI algorithm is run on the Lattice chip using the video stream to detect -- or to detect things like human presence detection, gaze detection, et cetera. We're really excited about that partnership with Dell, and we expect to benefit in terms of revenue from that in the second half of this year.
 So that's a relatively new announcement that we made. And that's around AI PCs. And in the past, we've shared that we've had a partnership for a number of years with Lenovo. So you'd find Lattice chips and software used on Lenovo ThinkPads, for example. So there's a number of places that we've been able to establish proof points in terms of Lattice's technology being able to be used for AI processing on the FPGA using our software, and this is primarily for inference processing.
 And as I said, to enable, in the new usage models, AI usage models related to presence detection or gaze detection. And then on the first part of your question, which I think goes back to security or servers, I think, there's a number of different places that Lattice chips get used on a server. They can get used for control management, security is another place. We feel -- I'll just reiterate what I said earlier, which is we feel very good about the ability to continue to expand our dollars of content over the coming generations.
 Now certainly, there is competition across all of our markets. We face competitors in all of our markets and across all of our products. But we feel, based on customer feedback, we've got very differentiated unique solution, not just at the hardware level, but software as well. and we believe we're well positioned to continue to expand our footprint and our revenue and servers as well over the coming generations. 
Operator: Our next question comes from the line of Tristan Gerra with Baird. 
Tristan Gerra: Going back on Industrial and Automotive trends, if we assume kind of, say, $65 million for Q2 in that segment, which takes us slightly below the Q1 '22 run rate, how do we look at true end demand, if you have visibility on that, relative to that kind of mid-60s quarterly run rate? And is your commentary about second half recovery you're applying to Industrial, if that's the case, which geography you think is going to emerge first from that on the shipping dynamic. 
James Anderson: Yes. Thanks, Tristan. On the first part of your question, yes, we believe that at this point, for instance, if you take the [ guidance ] that we provided for Q2, if we look at the end customer and how much Lattice content that they're consuming as they build their systems, we believe we're under shipping right now in Q2 the end customer demand.
 And that's something that we believe happened in Q1 as well, but we also believe that, that effect starts to dissipate in the second half. And it's a gradual dissipation over time, but as customers start to get their inventory levels back to normal, that drawdown of inventory dissipates in the second half and then the demand that we start to see from the customers naturally goes up to their actual consumption level.
 So that's what we believe happens through the rest of this year. And it can be a little bit different by subsegment within industrial, auto as well as by individual customer. We have a lot of customers, over 10,000 customers. But in aggregate, we believe that, that dissipation or that, that industry drawdown -- inventory drawdown effect dissipates in the second half. And there's -- different customers are at different stages of where they're at in that effect.
 And then on the second part of your question on geographically, we would expect to probably see improvement, let's say, across the geographies. But I would expect to see North America and Europe industrial and autos probably start to pick up -- start to pick up first as that inventory dissipation effect or that inventory drawdown effect starts to dissipate. 
Tristan Gerra: Okay. And then for a follow-up, how is your distributor dollar inventory comparing with the prior quarter? Is it increasing? If so, by how much? Or is it declining? And then also if you could quantify this in weeks, inventory weeks, at distis on average? 
James Anderson: Yes. Thanks, Tristan. When we look at the distribution inventory, and we have pretty good visibility on that. It's really back to the levels that we saw pre-pandemic. So basically approximately back to that same level pre-pandemic before the whole supply chain disruption started. So we view that as a good thing, that it's back to those levels, because we think those levels are the right levels to support our end customers, make sure that there's inventory in place in case demand does start to pick up quickly.
 If the market starts to stamp back quickly, we want to make sure we have inventory position to support them. And so I would characterize those inventory levels as really back to those pre-pandemic levels. And then the second part of your question, I think, was on weeks of inventory. We don't typically break that out for our distribution partners. 
Operator: [Operator Instructions] Our next question comes from the line of Ruben Roy with Stifel. 
Ruben Roy: Jim, my first question is a clarification, I think, just on the commentary around the new Nexus devices. At the analyst event last year, I think you talked about some new Nexus devices in development. Is that kind of what you're referring to? Or has something changed and you're accelerating the road map around Nexus? 
James Anderson: Yes. Something's changed. We're -- we have accelerated the road map on Nexus, yes. We've added additional device options. Think about this as a wider portfolio that we're going to bring out faster than even what we had back at the Developers Conference. We've just continued to look at the potential for long-term growth in this segment, and we believe there's great potential for the company to continue to grow in this segment.
 And so we wanted to bring out even more device options to support our customers over the long term. And that's in parallel to us continuing to drive the Avant road map at full speed, right? That doesn't -- I want to stress that it doesn't detract in any way from the Avant road map. That's also very aggressive, but we found the ability to enhance the Nexus road map in parallel to driving a very aggressive Avant road map of introductions of new devices. 
Ruben Roy: Yes, that's what I thought you were saying, but I want just to make sure on that. And then just as the follow-up on Avant, just want to make sure I have this right in terms of sort of the design activity you're seeing.
 Avant-E being out first and -- not sure if I have this right, but that was -- it seemed like it was more specific to certain processing and really edge processing applications, whereas the other 2, G and X, are more general purpose. Would you say that the design activity or sort of the engagements with your customers are more skewed towards the general purpose? Or is that not the right way to think about it? 
James Anderson: I think we've got good engagements across all of those different flavors of Avant. They all serve a slightly different purpose. G is, yes, the most broad, general purpose family, E was more optimized for edge applications, and X has higher connectivity speeds really optimized more for, for instance, data plane applications.
 So they all fit a little bit different need. We're seeing good engagement across all of those. E is just further along in terms of generating revenue because -- primarily because that was the first one that we introduced. And so we introduced that one first, so it's just ahead of the G and the X in terms of generating revenue and its revenue ramp over time. 
Operator: Our next question comes from the line of [ Doug Zhang ] with Bank of America. 
Unknown Analyst: One on software attach, it's been a big push for you guys, obviously. Could you remind us where you are in that progress today and if the downturn has any impact on that attach rate? Would you say when we get out of the downturn in the second half, should we also expect that attach rate to accelerate going forward? 
James Anderson: The quick answer to the -- is no. We don't see the downturn affecting the software attach rate at all. And our software attach rate is now over 50%. That means over half the time, when we win the new design with customers, customers are choosing to not just use Lattice silicon, but they're -- over half the time, they're using one of our software solution stacks as well. and we've got a pretty wide portfolio of software solution stacks now that we've rolled out to the market.
 And remember, the software solution stacks are really purpose-built solution stacks for a specific end user common end use cases that are coming across multiple customers. And the purpose of these is to, number one, to help our customers innovate, to help them sign Lattice solutions in really quickly, but also to get to market quickly as well. They've been really popular with our customers. We continue to see very high attach rates.
 We expect that attach rate to grow over time, and that certainly benefits us over time. It not just helps our customers innovate, but it creates long-term stickiness with our customers for those solutions. And then there is a benefit over time to the ASPs that we see with design wins that include software attach as well. But I wouldn't say the software attach is affected in any way by the downturn. 
Unknown Analyst: Awesome. And then as a follow-up, just given your big -- obviously, Intel is trying to go public with Altera. They've been reallocating resources into that business, coming out with new products, et cetera. So how are you seeing competitive dynamics within the FPGA space? Are your customers seeing any changes in behavior? Any color on that would be helpful. 
James Anderson: Yes. I would say that, first of all, we always take our competition very seriously, and we've always assumed -- since the day I joined Lattice, we've always assumed there will be robust competition across every one of our markets and products. That's the philosophy that we use to plan out our product road maps over the past 5-plus years.
 That said, I think we're really well positioned competitively. I think if I look at our small FPGA portfolio, we talked about Nexus a few different times over the course of this call. Nexus is very, very differentiated, very good performance per watt. So it's got great power efficiency advantages, great features, great physical, small size. I think it's a very strong product, and our customers would say the same.
 And then when I look at our new mid-range product line, Avant, the E, the G and the X versions, there as well, I think that's highly differentiated. And at our Developers Conference in December, I think we demonstrated the level of differentiation of our mid-range products. And we demonstrated those live in competitive demonstrations in December to show the competitive advantages of Avant.
 So we certainly feel like we're very well positioned. And we believe in small FPGA, we've gained significant share over the past years, and we see the opportunity to continue to grow and gain share in small FPGAs. And then in mid-range, we're at the beginning of that Avant revenue ramp, but we believe that we can grow Avant significantly over the coming years. And remember that Avant uses all the same software as Nexus, so it leverages the same development software, the same software solution stacks.
 And when we look at the target customers for Avant, 90% of the target customers for Avant are already customers of Lattice today. So these are customers that are just buying another product from Lattice's product portfolio. They view Avant as just an extension of the existing Lattice portfolio. So for all those reasons, we feel really good about the competitive environment. We never take that for granted. We always assume it's going to be a robust competitive environment, but we do feel good about the positioning that we have today and over the coming years. 
Operator: Our next question comes from the line of Srinivas Pajjuri with Raymond James. 
Srinivas Pajjuri: A couple of questions. First on the -- one of your larger competitors, I guess, Xilinx, end of life-d the low end. I think they put out a press release back in January. Obviously, you have a very strong position there. And given their exit or potential exit from this market, I mean just curious if you're seeing any impact on your business, any more interest in terms of the design activity? And also, if you could help us understand maybe how big this opportunity could be potentially for you if you kind of think over the next couple of years? 
James Anderson: Yes. Thanks, Srini. So the answer is yes, very beneficial. It was -- we view that as very positive that, that particular competitor EOL-ed the number of parts. Part of the reason we're putting our foot on the gas in that segment is because we see competitive opportunity here, and we see the opportunity to continue to gain more share over time against both of our primary competitors.
 And so you see us basically doing the opposite, which is investing more, bringing out more products. And I think that's viewed incredibly positive by our customers. Look, small FPGAs are a critical part of all of our customers' systems. And I think with Lattice, they see a company that's dedicated to sustained investment in innovation in this segment that continues to innovate on every new generation, that's expanding its product offering, that's adding new software, and that's giving them long-term assurance on the lifetime of these products that they can rely on for the lifetime of their systems.
 And so for all those reasons, I think they see Lattice as the supplier of choice for small FPGAs over the long-term horizon. And that's why we believe we're well positioned to drive continued growth, expansion and share gain in this segment. We also believe that, that same customer excitement about our investment, our innovation, spills over into mid-range as well. If you look at those customers, those same customers, most of our customers mainly use mid-range and small FPGAs. That's the primary usage of FPGAs.
 And with Lattice, they have a supplier that's now got mid-range and small FPGA portfolio to offer them that's continuously innovated and has a long-term strategy of dedicated investment in both hardware and software to meet their needs. And so I think they see us as the supplier of choice in both mid-range and small FPGAs. 
Srinivas Pajjuri: Got it. That's very helpful. And then on Avant, I think previously, your expectation was that Avant would contribute about 10% to 15%, roughly speaking, of your revenue in the next 2 to 3 years. I get a lot of questions about how we should think about the revenue ramp, and obviously, Avant-E seems to be contributing already. So maybe give us some pointers on how we should think about contribution this year and next year, even if it's rough numbers. I think that would be very helpful. 
James Anderson: Yes, thanks. We continue to be focused on the target that we provided in terms of Avant revenue over the long term that we provided at that last Investor Day. I think that's the target that you're referencing. We're still very focused on that and driving towards that target.
 We've given some markers for this year just in terms of how to qualitatively think about Avant contributing this year. It's more of a contribution in the second half of this year. And then, of course, we expect Avant to grow and contribute more next year and in the following years. I think as we get closer to the end of this year and into next year, we could provide maybe some more specifics on where we see Avant over time. 
Operator: Our next question comes from the line of Christopher Rolland with Susquehanna. 
Christopher Rolland: Just a quick follow-up for Sherri. So Sherri, tax rate has been stepping up. I believe that's the extinguishment of some NOLs, but correct me if I'm wrong. And where are we on NOLs and tax rate moving forward? 
Sherri Luther: Yes. Thanks, Chris, for your question. So from a tax perspective, actually Q4 is when we released our valuation allowance. And so in our last quarter's earnings call, we talked about how to think about the effective tax rate for 2024, which is in the mid- to high single digits. And that's how to think about that from an effective tax rate perspective. And for Q1, our effective tax rate was about 7.5%. So that's -- so the VA has been released to the extent of about $57 million in Q4. We still have some VA on our books, but you can probably read in all that fun detail when you -- when our Q comes out, but that gives you a little bit more color on the tax rate. 
Operator: As we have time for one last question, the line comes from Ruben Roy with Stifel. 
Ruben Roy: It's Ruben Roy. I also have a quick follow-up for Sherri, which I forgot to ask. Sherri, revenue down quite a bit year-over-year, but the gross margins have held up, and just wondering if you can comment on that.
 Obviously, you guys have been doing a great job on pricing optimization, et cetera. But any comments on gross margin, and I guess, how to think about gross margin second half as you get some revenue recovery? And maybe a little bit of a mix shift back towards Nexus and a little bit from the new Avant products would be helpful. 
Sherri Luther: Sure. Thanks, Ruben. So we're really pleased with the 69% gross margin in Q1 that was in line with what our -- the midpoint of our guidance. So it came in as expected. And when we put out our guide for Q1, we talked about the fact that mix was really a driver on that sequential decline. Now for -- as we look ahead to Q2, with 69% being at the midpoint again, even though the revenue guide at the midpoint is lower in Q2, mix can still be a factor there. But the range of gross margin, 69% plus or minus 1%, it is a range.
 But having said that, I mean, certainly, we've been focusing on our gross margin expansion strategy. Now we're in our sixth year, and to date, we've improved our gross margin by about 1,200 basis points. So it continues to be an area of focus for us. You can certainly expect to see fluctuations that can occur on a quarterly basis. But, as we put out our long-term model in 2023 at our Investor Day of gross margin in the low 70s, it continues to be a focus area for us. 
Operator: Thank you. There are no further questions at this time. I'd like to pass the floor over to Jim Anderson for closing comments. 
James Anderson: Yes. Thank you, operator, and thanks again, everybody, for joining us on today's call. As we navigate some of these near-term headwinds, we absolutely remain focused on executing what is the biggest product portfolio expansion in the history of Lattice. We're very excited about that and so are our customers. And looking forward to sharing more details about that on our next call. Operator, that concludes today's call. 
Operator: Thank you. You may disconnect your lines at this time. Thank you for your participation.